Operator: Greetings. Welcome to the National Storage Affiliation Fourth Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, George Hoglund, Vice President of Investor Relations for National Storage Affiliates. Thank you. Mr. Hoglund, you may begin.
George Hoglund: We'd like to thank you for joining us today for the fourth quarter 2023 earnings conference call of National Storage Affiliates Trust. On the line with me here today are NSA's President and CEO, Dave Cramer; and CFO, Brandon Togashi. Following prepared remarks, management will accept questions from registered financial analysts. Please limit your questions to one question and one follow-up and then return to the queue if you have more questions. In addition to the press release distributed yesterday afternoon, we furnished our supplemental package with additional detail on our results, which may be found in the Investor Relations section on our website at nationalstorageaffiliates.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties and represent management's estimates as of today, February 29, 2024. The company assumes no obligation to revise or update any forward-looking statements, because of changing market conditions, or other circumstances after the date of this conference call. The company cautions that actual results may differ materially from those projected in any forward-looking statement. For additional details concerning our forward-looking statements, please refer to our public filings with the SEC. We also encourage listeners to review the definitions and reconciliations of non-GAAP financial measures such as FFO, Core FFO and net operating income contained in the supplemental information package available in the Investor Relations section on our website and in our SEC filings. I will now turn the call over to Dave.
Dave Cramer: Thanks, George, and thanks everyone for joining our call today. Fourth quarter capped off a busy year here at NSA. We made significant progress in our people, process and platform initiatives. I'm very pleased with all that we've accomplished in 2023 to strategically position us for the next phase of growth. On the people front, we made a handful of key moves to enhance our team, including hiring Will Cowan, who joined NSA in June as Chief Strategy Officer. Will's hiring is notable as he is leading our portfolio optimization plan, which includes asset sales and joint venture transactions in many areas, including our data science and customer acquisitions teams. Teams focus on enhancing our processes through utilization of artificial intelligence and machine learning in our revenue management models. This has improved our customer rate decisions and elevated our intelligence in paid marketing and front end pricing models.  We also invested in new and upgraded platforms in 2023, including a new property management system, data warehouse and customer web platform. These upgrades position us to have enhanced intelligence, a better customer experience, increase conversion rates and facilitate more sophisticated revenue management and marketing strategies. Needless to say, I'm very proud of what our team accomplished in 2023 and they worked diligently to position NSA to deliver enhanced growth over the long-term.  Now turning to operations for the quarter. There were several puts and takes in the fourth quarter, but on the whole, the quarter played out modestly better than our expectations. Teams focused on balancing rate and occupancy to maximize revenue, while we remain focused on expense control. The quarter remained challenging on an asking rate front. Competition for new customers remains high, especially in markets where we also have supply pressures. Our improvements in team and technology are certainly aiding us in navigating the challenging environment. Our existing customer base remains healthy, but it's like to stay above historical averages. Continued ability to implement ECRIs is allowing stability and achieved rate, while we rate for demand conditions to improve.  Keep in mind that the seasonal profit in rates and occupancy tends to occur in the first couple of months of the year, we’re seeing evidence that February likely ends up being the bottom. Lastly, looking at our different markets, the Sump Delta is currently facing demand challenges due to muted housing market and new supply. With MSAs like Phoenix, Sarasota and Las Vegas all performing below portfolio average. Longer term, we remain very confident in the growth prospects of our Sunbelt markets due to the broader population and migration trends.  Now turning to our portfolio optimization strategies, we had a very busy fourth quarter and a start to the New Year, including the following. First, we sold a portfolio of 71 properties to a large private storage operator for a gross price of $540 million. The sales straddled year end with half of the portfolio closing in December and although one of the remaining properties closed in February. Portfolio consisted of assets that were generally smaller than our portfolio average with lower margins and were geographically less concentrated. The assets and markets also generally had lower growth prospects than our portfolio. As such, the sale enhanced operational efficiencies, improves our long-term growth prospects and generates capital for our balance sheet initiatives.  Second, we contributed 56 assets totaling almost $350 million to a newly formed joint venture in February with one of our existing JV partners. We chose these properties because they had revenue-enhancing opportunities that we felt were best unlocked off balance sheet in a joint venture structure. We've retained a 25% interest in this JV and the right of first offer on the assets. These are assets and markets that we will want to own long-term, so we maintain the flexibility to bring these assets back on balance sheet in the future. Third, we also formed a new joint venture with an existing partner. JV has $400 million of total capital commitments with a maximum allowed leverage of up to 60%, which implies up to $1 billion of buying power. This JV provides additional growth capital to take advantage of acquisition opportunities that we think will start to materialize in 2024 and into 2025. And last, we raised $250 million of capital through a debt private placement. By completing these activities, we were able to repay our entire revolver balance and eliminate all of our exposure to floating rate debt. Also bought back $27 million of common shares in the fourth quarter and an additional $93 million year-to-date. We've delivered on what we've been messaging over the past few quarters. Net impact of these transactions are reduced risk, better portfolio concentration and quality, improved operational efficiencies, reduced share count to enhance FFO growth going forward, and generation of investment capital and dry powder for future acquisitions. In short, we've strategically and significantly improved our balance sheet position on enhancing our growth prospects over the long-term. I'll turn the call over to Brandon to discuss our financial results.
Brandon Togashi: Thank you, Dave. Yesterday afternoon, we reported core FFO per share of $0.68 for the fourth quarter of 2023 and $2.69 for the full year, at the high end of the guidance range we revised in the middle of last year, driven by same-store NOI growth coming in higher than the guidance midpoint. These core FFO per share amounts represent a decrease of approximately 4% over the prior year period, driven primarily by an increase in interest expense, which overshadowed same-store performance and NOI from acquisitions, partially offset by a reduction in weighted average shares outstanding attributable to our share buyback program. For the quarter, revenue growth was flat on a same-store basis, driven by growth in rent revenue per square foot of 3.6%, offset by a 380-basis point year-over-year decline in average occupancy during the quarter. Occupancy ended the quarter 86%, down 410 basis points year-over-year, while January occupancy finished 390 basis points below last year. Expense growth was 4.8% in the fourth quarter and 4.7% for the full year. Similar to the past couple of quarters, main drivers of growth were property tax, marketing and insurance, partially offset by payroll efficiencies that resulted in lower spend versus the prior year period. Marketing expenses remain elevated due to increased competition for customers and a tough comp. While insurance expense growth will continue to be at this high level until our policy renewal coming up April 1. As Dave mentioned earlier, it was a busy quarter and start to 2024 on the asset sales and joint venture front. We also continue to evaluate acquisition opportunities and purchased two assets during the quarter totaling $25 million. One of these assets was from our captive pipeline and the other asset was sourced off market by one of our pros, utilizing their local relationships in the industry. This brought our full-year acquisition activity to 20 properties totaling $230 million all through our captive pipeline or off-market channels. Looking at the portfolio sale and JV contribution that Dave discussed, our net proceeds from these transactions were approximately $835 million, which we've used to repay our revolver in full, repay $130 million of term loan B that matures in July, and to buyback approximately $120 million of common shares since our last earnings call.  These transactions have allowed us to significantly enhance our strategic capital position as of today by eliminating offloading rate debt exposure, freeing up all the capacity on our revolver, sourcing additional growth capital through the formation of a new joint venture, and reducing our share count due to our discounted valuation, which will create greater FFO per share growth over time. Needless to say, we have positioned ourselves to take advantage of opportunities as they arise.  Turning to the balance sheet, I won't summarize all the details of our debt private placement or share buyback activity, the specifics of which you can see in our disclosures. But I will highlight that at quarter end our leverage was 6.1 times net debt to EBITDA and pro forma with the asset sales and debt repayments our leverage at year end would have been 5.7 times. Now moving on to 2024 guidance which we introduced yesterday. The operating environment remains very competitive to start the year which is weighing on rental rates and occupancy. And uncertainty remains regarding interest rates, their impact on the housing market, and in turn the spring leasing season. We've thus factored a wide range of scenarios into our full year guidance assumptions, which are detailed in the earnings release. The midpoints of key items of our guidance are as follows: Same-store revenue growth of negative 2%, same-store operating expense growth of 4%, same-store NOI growth of negative 4%, acquisition volume of $200 million and core FFO per share of $2.48. High-end of our guidance range assumes a return towards typical seasonality fueled in part by normalization of the housing market. The low-end incorporates continued downward pressure on rate and occupancy due to muted customer demand. And the midpoint assumes a modest level of seasonality with occupancy remaining relatively flat throughout the year. While our guidance reflects a wide range of outcomes, at some point the pent-up demand for home purchases will be unlocked, which combined with an improving supply outlook creates a healthy backdrop for self-storage fundamentals.  Thanks again for joining our call today. Let's now turn it back to the operator to take your questions. Operator? 
Operator: [Operator Instructions]. Our first question is from Todd Thomas with KeyBanc Capital Markets. Please proceed. 
Todd Thomas: Hi. Thank you. Few questions. First, I guess, on the progress you've made with the portfolio optimization process. Dave, you commented that you've made significant progress on toward the company's strategic initiatives. So, first, I guess, is there more to do beyond what has been announced as we think about moving forward from here? And then, can you also talk about the implied pricing for the portfolio sale and the joint venture contributions? 
Dave Cramer: Yes, sure Todd, thanks for joining me today. I think the majority of the heavy lifting as you think about positioning ourselves from the sale of assets and the formation of JVs puts us in a place where we can now grow. Our balance sheet is well positioned to take advantage of opportunities that we think are going to come towards the back half of this year and into 2025. And so, what we set out to do last August, the majority of that heavy lifting is done and the team worked extremely hard really through the back half of last year, greater part of this year and I'm very, very proud of the accomplishments that they've made.  And so, from that aspect, if you think about additional pruning of that portfolio, it will be on a more selective basis, not nearly at the magnitude that we just went through. And so, from that piece of it, I would tell you on the two sales or the sale, let's talk about the sale of portfolio first, the 71 assets. The cap rate on that was right at a 6% cap on those assets. It was 71 assets. We really studied our portfolio top to bottom and ask ourselves where could we find better places to recycle that capital and that had a lot of things around that piece of it. So, if you think about the 71 properties, if you broke it down, it was in 14 states, really through the Midwest, the Southeast a little bit, it was the primary pieces of that. If you think about it, over 80% of the markets had two assets or less and then if you think from that aspect, we had probably two bigger markets we exited which was St. Louis and Augusta. And so, as we looked at where we could find operational efficiencies, where we could really take our portfolio and take that capital, redeploy it in a better position long-term for growth, again, I think we did a really good job just coming through the portfolio at a time where we weren't having a lot of external growth and then the team did a really good job executing the strategy around that sale of asset. The JV, a little different scenario there. Those are assets that we do want to own long-term, but we thought there was some ability to drive additional revenue through some revenue-enhancing projects on those facilities. And so, we did team up with an existing JV partner and we spun those into a JV to want to lock some capital for us to use more effectively in the future, but also to put some dollars into those assets that will improve performance and improve the overall market position with those properties and allow us to come back at a point in time and buy those assets back into our portfolio. So, I think both those strategies executed very well. Timing was good for us. Both of the participants, the buyer of the assets on the sale did a great job working with us. They were a great partner working through the transition of that. We're very appreciative of that and then our existing JV partner obviously good relationship there and looking forward to that future. The JV assets, the JV portfolio was low six, sorry I left that out, from a cap rate.
Todd Thomas: And then for the two joint ventures, can you just talk about what the fee structure will be like and can you discuss what the tenant reinsurance income sort of arrangement will look like between NSA and the joint venture partners?
Dave Cramer: Yes, I probably won't get a lot of detail there. I'd say they're very similar to previous JVs we've had set up in structure. And so, same partner that we've used in the past, so the JV structures themselves are very similar in their design and their makeup. And so that would be around sharing of tenant insurance and fee structures that we've had with previous JVs, but I'm just not going to get a lot of the details there.
Todd Thomas: Okay. All right. Thank you.
Operator: Our next question is from Spenser Allaway with Green Street Capital. Please proceed.
Spenser Allaway: Thank you. Just to make sure I understood your comments correctly, the 56 assets that were selected for the JV, I think you mentioned they have revenue-enhancing opportunities that would best be achieved in the JV structure. But if you guys are managing those and operating those assets, it doesn't seem like that's an operational play. Can you just talk about what those revenue-enhancing opportunities are and is there something to be done on the CapEx front?
Dave Cramer: Yes, I think you're touching on it, Spencer, and thanks for joining today. We certainly there's we've put significant CapEx dollars in the front end of that JV to go in and improve the properties. Unit reconfigurations, the way we look at the properties from street appeal and a few things like that. And so, there was an amount of dollars that was put up front for upfront capital to be deployed really in 0 to 12 months and really work hard on getting the properties improved competitors set. And so that's really what that piece of that unlocking of that revenue enhancing looks like. 
Spenser Allaway: Okay. Great. And then when you mentioned lower margins and lower growth prospects in the portfolio divestment you made, are you willing to share a little bit more in terms of like specifics in terms of how those margins fared relative to the portfolio average as well as kind of how you thought about the growth prospects?
Brandon Togashi: So, Spencer, this is Brandon. Like so far, our existing portfolio, our NOI margins in the low 70%s, 72%, 73%, and the portfolio sale assets were in the high 60%s, so mid to high 60% NOI margin. 
Spenser Allaway: So, you mentioned also that you feel you guys have made great progress on the portfolio composition and in the balance sheet certainly in the last few months. But you did comment that you feel that well positioned you to grow and look at certain acquisitions as you move through '24. However, given your cost of capital is still fairly impaired, trading at a double-digit NAV discount, how do you think about financing and growing given that dynamic? 
Dave Cramer: It's a great question. We certainly think there's a couple of things going on with the market. We think as we start to see stores and portfolios and smaller portfolios, we think the JVs probably offer the best opportunity to get started with capital-light of course for us and that's the best way to get started. I think as things start to turn, we are starting to see properties come a little bit more realistic in pricing and so we're pleased about that. And so, as market conditions improve, the JV is a great place for us to start. And then I do believe the team will find one-off assets in some of these markets where we can buy a balance sheet as well. 
Operator: Our next question is from Jeff Spector with Bank of America. Please proceed. 
Unidentified Analyst : It's Lizzie Duikin [ph] on for Jeff. I just wanted to go back to comments from the beginning on seeing evidence that February likely ends up being the bottom. Just wanted to clarify, was that referring to new customer rate for occupancy? And maybe can you give some more color on the kind of trends you're seeing into February that is giving you this confidence?
Dave Cramer: Yes, great question. Thanks for joining. What we really as we came out of the fourth quarter, we really saw from a net rental activity, the quarter itself was not it wasn't overly dynamic for us in the fourth quarter. There was a lot of competitiveness. Our team focused very much on looking at the revenue end result. And so, as we looked at street rate and as we looked at competitive sets and where we wanted to position ourselves, I think we were really patient in the fourth quarter, trying not to dip our finger into a really competitive rate environment.  What we've seen in January and February is improvement. January's rental volume and move out volume, move out volumes are down to last year, rental volume improved compared to last year. And in February what we've seen is rental volume and rental volume above last year and move out volume below last year. So, we actually are going to have a net rental month in February. So, we're encouraged about the change in the trend coming out of the fourth quarter to the first two months of this year. We think the street rate environment is still very competitive, but we've definitely seen the move activity pickup and the conversion rate pickup. 
Unidentified Analyst: That’s more helpful. Thank you. And I was wondering if did you guys disclose like cap rate for the portfolio sales made in December and then the 38 properties sold in February? And separately, is there any expectations around dispositions activity this year, the rest of the year?
Dave Cramer: Yes, I just kind of talked to Todd's question. On the sale of the properties, the cap rate we said was right around 6% and that's for the full 71 assets, which are going to be really three closings, right? You have one closed last year and then we as a closing rate of this year, we have one asset that will close in March. And so that'll be the end of that. As far as sale of assets this year, we're going to be selective. There are still areas we're looking at. There are still some properties that we know and have identified that we will probably transact on this year from a sale perspective. But again, the heavy lifting was really done last year through this really concerted effort to position ourselves to be ready for growth this year, the back half of this year.
Brandon Togashi: And then [indiscernible] on the JV assets, Dave did give earlier low six cap rate on that. That's after the fees to us as manager of those assets. And just as a point of reference, we put $210 million of debt on that portfolio via the JV at a 6.05% interest rate. And so, it was important for us with our JV partner to kind of clear that from a yield perspective, but then also in terms of what we were getting out of it to be inside of the immediate use of proceeds, which is paying down our line of credit at a 6, 7 rate.
Operator: Our next question is from Samir Khanal with Evercore ISI. Please proceed.
Samir Khanal: Good afternoon. Thank you, Brandon, just curious on revenue growth guidance, and you spoke a little bit about that. I mean, it's a pretty wide range. So, help us understand kind of what's the biggest swing factor here to kind of get you the top end or the low end? Is it the housing market or is it something else?
Brandon Togashi: Samir, thanks to joining. I would say it's largely interest rates and their impact on housing. I mean obviously transition and mobility generally is important for our business but rewinding a year ago, I mean I think and having to revise our beginning of the year guidance in 2023 in August with our Q2 report. I think in hindsight when we look back on it, we underestimated a little bit the severity of that impact on rates. And so, when we look at this year, certainly there's a general consensus that rates will come down, but when exactly that happens and a lot of people think in midyear and beyond. So, I just don't think there's a lot of confidence that we're going to see a meaningful impact in the spring. And so that's certainly baked into our expectations. So, at the midpoint of our guide, Samir, we're really assuming that occupancy is relatively flat from where it is right now throughout the rest of the year and not really maybe a modest improvement in the spring-summer, but not really a tremendous lift. And then rates similarly kind of assuming that rates really just kind of tread water and stay relatively flat from where they are. And when you run that out versus the prior year comp, that's kind of what gets you to the negative 2% midpoint.
Samir Khanal: Thanks. And I guess Dave, I guess how should we think about occupancy in '24? I mean, when I look at compare occupancy today versus maybe sort of pre-pandemic 2019, you're about 100 basis points lower. I know you have to find the right balance between rate and occupancy, but help us think through kind of how you think occupancy could trend through the quarters in '24? 
Dave Cramer: Yes, great question. I personally think we could see some occupancy improvement. I do think that with the competitive nature of what happened really the back half of 2023, there was a substantial push to hold occupancy in a lot of markets and that came at the expense of rate and there were some really competitive rate environments going on. I think that's going to ease. I think objectives are being met. And I think from our standpoint, we're testing a few more occupancy-based models where we're testing a little different rate strategy and we're seeing some success around that. We need to obviously test it and prove it out that proves to the best revenue model. But I look at where we sit today and where we can go to Brandon's point he was talking about earlier, to get to our higher points will be around occupancy and I think there is an opportunity for us if conditions improve to move on occupancy. 
Brandon Togashi: And Samir maybe just a little more color like I'll give you an example. In a market like Portland, right, our second biggest market, we're actually about 800 basis points more occupied for those stores than we were in late 2019 prior to all the craziness of the multiple years throughout the pandemic. And that's come at the cost of rate. I mean, rates are lower than they were then. So that's a situation where we clearly have not been bashful about moving rates to try to drive occupancy where we can, but it's just it's market by market. And so, we're making those decisions on a market level where we think we yield the best returns. That's right.
Dave Cramer: If you pointed to the adverse that if you look at Oklahoma City which is down significant amount of occupancy, but still carrying one of the largest revenue increases in the portfolio. That's why we think it's a balance, Samir. And so, we do hope that the worst is behind us as far as the dynamic rate competitiveness and hopefully from just a macroeconomic condition, transition around the country improves a little bit and that will help us grow occupancy. 
Samir Khanal: Thank you.
Operator: Our next question is from Eric Wolfe with Citi. Please proceed.
Eric Wolfe: You mentioned that you're expecting occupancy to stay sort of at current levels around 86%, which I think if you're going to get to sort of the midpoint of your guidance would imply that revenue per occupied foot needs to be sort of flattish to slightly up year-over-year. I guess first is that right? And then second, can you talk about what you sort of need to see from moving rates, CCRIs and churn to get there? 
Dave Cramer: Yes, great question. And yes, you're right. I mean they achieved greater contract rates pretty much flat as we carry our way through the year. Our existing consumer as we talked about our opening remarks is remaining super stable and they're very durable right now. And so, our ECRI program is really helping us achieve the stability around contract rate. Our cadences are remaining the same. Our effectiveness and the lift we're giving our customers is very stable. And so, to the upside, if we're trying to get to the upside of our guidance would be around street rate improvement and coming off some of the really tough roll-downs that we're in right now. These are really again, I think if the straight rate environment improves that allows us to lift our street rates and we can also lift some occupancy as we come through the spring season with some changes around transition of the country. If everything stayed the same as Brandon said, that's what gets us to the midpoint. And that's really how we've looked at the year. It's really hard to have some clarity right now. We've had two good months. We're encouraged by January and February, but really until we get through the spring leasing season, that's when we'll really know did we get an occupancy lift, did we're able to push some three rates in the spring. If we're able to do that, then that's going to push us above the midpoint of our guide. But until we know that, it's really hard to have clarity on and conviction around not just having a more midpoint year.
Eric Wolfe: Yes, that's helpful. And then just a clarification on the cap rate. You mentioned 6% around 6% for the disposition, the holding on to assets and then low 6% is for what you contributed to the JV. I was just curious, is that sort of on a nominal cap rate historical basis or does it include CapEx, is it forward-looking, just trying to understand how it's calculated?
Dave Cramer: It's really on a nominal and a historical NOI basis, depending NOI basis.
Brandon Togashi: Eric, with the JV, one thing I'll add is on the JV adjusting for the fees to us as manager, just because we continue to be a partial owner in those. So that's the way we have to look at that.
Eric Wolfe: Thank you.
Operator: Our next question is from Juan Sanabria with BMO Capital Markets. Please proceed.
Robin Haneland: This is Robin Haneland sitting in for Juan. Maybe just an ECRI as a follow-up there. How do you expect the bumps to impact '24 growth relative to Q3? Is the pace and magnitude changing year-over-year? Any update there?
Dave Cramer: Yes, stability, we have, we're actually probably a little more assertive on the percentage of rate increase now than we were the first half of last year. We really our tools really allowed us to look at how we were looking at our customer base and what percentage of customer base we're hitting and what percentage of increase. And so, the first half of the year, we weren't as dialed in as we are now. So, I think it's stable. I think in the first half of the year we might be a little more frequency or not frequency, but a few more of our customers might see a rate increase just based on what we've learned through the back half of the year. But no real change I guess is what I'd probably end with as far as our conviction of what the program and how the program is working.
Robin Haneland: And you mentioned in your prepared remarks that some markets are seeing supply pressures. Could you maybe just quantify if you know the percentage of the portfolio that's exposed to supply in '24 versus '23 and maybe if you have visibility into '25 at this point?
Dave Cramer: I would tell you, I would start with, we do think new start or new additions or new completions are certainly less year-over-year and we'll have the outlook looks like it's going to be less for our portfolio. All of our markets, the way we really look at it is if you think about the rings that we study around our properties of new competition, each one of those is having a declining percentage of impact from new competitors. So that means the ones that were built are starting to fill up and come to maturity and less of them are being added in our rings around our properties. And so, we look favorable as far as new supply impacting our portfolio in '24 and '25. But there's still markets like we discussed in the opening call where particularly in the sun melt where there was a lot of population growth, we had a lot of success during COVID and but there's been a lot of product that was built during that time that was masked by the COVID pandemic, because we had these phenomenal operating results that are now coming back to they're there and we have to go through the fill up cycle. So, Phoenix would be a great example of that. It will grow itself out of it, but there is a lot of product to be absorbed and that will just take time.
Operator: Our next question is from Keegan Carl with Wolfe Research. Please proceed.
Keegan Carl: Maybe first just wondering if you could give some color on how you're going to differentiate your acquisition opportunities between your wholly owned strategy and your newly formed JVs?
Dave Cramer: I think a lot of it's going to be around what the property type is and the cost of the property. The JV, we'll have an opportunity there, I think it'd be a little more aggressive around buying properties in this timeframe at the pricing that's out there in the markets we want to be in. And it's a great opportunity for us to tap into those. The stuff that we're going to look to probably wholly own will be probably a little more patient with and we're going to have to find those opportunities that fit an accretion level we want. And that will probably take a little bit more time. So, having the JVs available to us, we think is a great advantage and it allows us to get started sooner than if we didn't have the JVs.
Keegan Carl: And then shifting gears, one for Brandon here. Obviously, you guys have done a ton regarding your balance sheet. Could you just maybe help us a little bit with what an expected range of your interest expense would look like this year and what sort of assumptions would be underlying that? 
Brandon Togashi: Yes, Keegan, so I don't have a specific dollar amounts necessarily to share with you, but I can tell you the sulfur assumption that we're using for the year is an average of 5%. And so, on our variable rate that puts you close to 6.3% to 6.4% depending on whether you're talking about our revolver or some of the term loan facilities that can carry variable rate if we haven't hedged them. What's really going to move it is just deployment of capital. So, going back to I think maybe earlier question from Spencer, what we could have added to that response is just the timing of the acquisition volume that we have guided to.  And I guess Dave did hit on it earlier, we biased that towards the back half of the year. And I would also caution that $100 million to $300 million that's really kind of the transaction dollar amount that we are guiding to closing on. And to your previous question that could take place on balance sheet or that could be through a JV in which case we get 25% share for us. And so that's really what's going to move the needle the most.  More immediately though, I will acknowledge, we've been active on the share repurchase program these first couple of months. And if our share price stays at the level that it's been at, you can expect us to continue to execute on that to the extent that we have got that capacity remaining on the $275 million that we established in December. And so that's also baked into our numbers for the year and that will include some immediate use of the line of credit as we go forward over the next couple of months.
Operator: Our next question is from Ki Bin Kim with Truist. Please proceed. 
Ki Bin Kim: Thank you. Just going back to some of the asset sales, you mentioned that in the JV you might have an opportunity to buy them back. I was just curious if there is any kind of contractual option language with some type of set pricing that's in the contracts or is it just more of a ROFR? 
Dave Cramer: It's more of a ROFR, there's no defined pricing there, but more of a ROFR. Similar to our other JVs, Ki Bin, we have the ability to be very involved at the end of that process. There's either a marketing or some kind of valuation step process that's involved. And then also similar to our other ventures, there's based on the returns that we've provided to our partner, a promote opportunity that would help reduce the purchase price to us at that point in time. 
Ki Bin Kim: Okay. And I think the total sales are about like $850 million or so. Just roughly speaking, like what percent of those proceeds are you thinking about to use for a repurchase versus paying down debt versus buying assets? 
Brandon Togashi: Yes, I would characterize it this way Ki Bin. As Dave said at the beginning, we really kind of defined last year, middle of the year strategy that we've been executing on over these past couple of quarters on paying down our line of credit, freeing up some dry powder, taking advantage of dislocation in our stock price through the repurchase program and then obviously executing on some of these portfolio improvement strategies.  And so, if you use the 835 number that you mentioned that we disclosed, if you go back to 6 months ago, when we started getting really active under our repurchase program, we've done about a little over $300 million. We've got a little less than $200 million available on the recently established program. If we exhaust that, that would be about $500 million of share repurchases and the rest would be debt pay down and that gives you a 60% equity, 40% debt mix, which is not dissimilar from the capitalization of the company prior to all these executions. And so those numbers are deliberate and kind of hang together with a path that we set down on. Of course, that can change if market conditions change, if acquisition opportunities become more favorable in the next few months, then the share repurchases, then we'll switch and pivot. But that's kind of how we foresaw this playing out and so far, it's played out in that way.
Ki Bin Kim: And I'm not sure if I missed it, but did you guys talk about what the rate for year-over-year change in 4Q and how that trended in January, February?
Brandon Togashi: You're talking street rate or I'm sorry?
Ki Bin Kim: Street rates.
Dave Cramer: Yes, street rates. We ended the Q4 about negative 14.2 year-over-year. fourth quarter pinched down just a shade above 10 and so far, this year it hasn't crept up much, the spread hasn't changed much.
Operator: Our next question is from Eric Luebchow with Wells Fargo. Please proceed.
Eric Luebchow: Great. Thanks for taking my question. I wanted to touch higher level, Dave, on the technology side. I know you touched on this, on the investments you're making. Are you looking to perhaps be even more dynamic in how you price your units from a revenue management perspective? And then I know you've talked in the past about unit reconfiguration and that could be a source of occupancy upside. Is that something that we should see throughout the course of this year or kind of a longer-term aspiration?
Dave Cramer: Yes, I think, we've really, really invested heavily with team and technology and we're starting to see the payoff, particularly around revenue management from the strength of the ECRI program as we talked about earlier and our conviction around what we can do with the tenants and what the successes we've had there. And so that's been the immediate first. And then we've actually implemented a couple of front-end pricing models that we're testing. If it could look a little bit more around the ideal occupancy and street rate mix. And so those models have just been stood up and they're actually in their testing mode in several markets and we're starting to see different iterations come out of that. Along with an automated Google bid model. So, we're actually looking at how we take the technology and apply it to when we're spending ad dollars, how we're spending ad dollars, what we do with that investment, when we get the best return out of it. And so, all of these things that we've been working on are really starting to put themselves in play and that's what gives us a really good outlook I think longer term as we learn and as we adapt and as we get better, particularly in competitive markets. But as we come out of this competitive market, what we can really do to drive our business forward. The last thing that we didn't talk a lot about is we have spent a lot of time around a customer service center. We've really added on a tremendous amount of talent in that organization and members in that organization. So, as you think about our payroll model that we've been working on about staffing hours and reduction of staffing hours and having satellite properties and remote properties, the customer service centers really become an important piece, so that the consumer can deal with this digitally, they can deal with this over the phone. And so, the new operating platform we stood up in the fourth quarter allows all of this customer service center seamless integration to all of the platforms and it really helps us conduct business remotely. And so, yes, it's I look at what the team went through in the back half of the year with the strategic initiatives, but it's not to be underscored how much of a lift it was to get the technology pieces in place. And I'm proud of them and looking back on it a year or two from now, we're going to be really, really happy with what we completed. 
Eric Luebchow: And just one follow-up, I know you touched on a little bit on the ECRI program. I believe you've said in some previous periods that kind of the average increase was somewhere in the 13% to 15% range across your portfolio. Just wondering are you having success especially for some of the lower rent customers over the last year pushing a much higher magnitude rate increase earlier in the cycle and then perhaps slightly lower rate increases for your longer tenured customers or how do we kind of think about that dynamic embedded in your guide? Thanks. 
Dave Cramer: I think you're thinking about it the right way. We are learning particularly on the new entries that we can certainly push harder and as you work your way farther through the lifecycle, maybe it's less of a frequency or less of an impact of a rate increase. But yes, the technology is certainly teaching us to be we can have a little different approach to newer customers given today's environment too where they are coming in at a pretty discounted rate. If you think about environment, we certainly are being a little more impactful on that first-rate increase. 
Operator: [Operator Instructions]. Our next question is from Michael Goldsmith with UBS. Please proceed. 
Michael Goldsmith: Dave, you mentioned earlier that in February move ins were up, move outs were down making it a net rental month. What does your data or your surveys show that's driving improvement? What's the thesis behind the improvement in February? 
Dave Cramer: It's a good question. Our surveying is actually showing a little bit more tenants moving a little bit. Now maybe they're moving an apartment to apartment and maybe not to house to house, but we did see a little more uptick in people who are moving. And so that's encouraging. And that's just on exit surveys, Michael, as we pull customers coming and going new rentals and people who are moving out. And so that's encouraging because I think that's really the larger part of our business that's missing right now and the demand factor is around that transition. The rest of the metrics, really not a whole lot of change about what we're serving. I would say that's probably the point that we saw a little more positive impact on. 
Michael Goldsmith: And Brandon, just thinking about the asset sales, the facilities that you sold tend to have lower revenue growth, lower margin profiles in the core portfolio. Is there any framework to think about how the, what sort of benefit you'll see without these facilities in your portfolio, for example, right, you sold 70 properties, that's about 10% of the same-store portfolio and if they were growing 250 basis points slower, it should be about a 25-basis point benefit to same-store revenue growth? Is there any way to kind of frame that out on the impact on the whole portfolio? Thanks. 
Brandon Togashi: Yes, Michael. So, I think the best way for me to give you a sense is just some of those assets we obviously completed the sale in the fourth quarter. So, I don't have like a full year of numbers for those properties. Others were held for sale and I do. But I know when I looked at it through 9.30 for example, like the nine months here to date and our old same-store pool was 834 stores. And then as you saw, we revised that down to 724. That did help the improvement the performance of that remaining 724 stores, it wasn't numbers that are going to knock you out of your seat. It was maybe 10 basis points on revenue, maybe 20 basis points on NOI where that growth profile of the remaining 724 was better than the 834 that still had the blended effect of assets that we have now sold. So, I think it's modestly better in that regard. Obviously, we talked earlier on the call about the NOI margin, that's a more meaningful impact. And then I think it also just hits on some of the other things that Dave remarked on. I mean, there's just a lot of operational efficiencies in terms of where those assets are located and just in markets where we didn't have a tremendous amount of scale. And so, there is a lot of benefit that you maybe don't quite see in the numbers I just cited, but from running the portfolio, running our regions and divisions, there's a lot of efficiencies there.
Operator: Our next question is from Ronald Kamdem with Morgan Stanley. Please proceed.
Unidentified Analyst: It's Jenny on for Ron. I just have a few quick questions. First is, would you mind sharing the exact occupancy and the street rates year-over-year change as of today? I know you have a few hours to finish February, but curious about that.
Brandon Togashi: So, Jenny, on occupancy, yes, we don't want to really speak too much about February just because there is some movement towards the last few days of the month. But in my opening remarks, I mentioned that the spot occupancy at the end of January was 390 basis points down over prior year that has tightened a little bit in February. I think we're going to probably closer to 380 basis points just on based on the last few days have looked year-over-year. So that goes hand in hand with what Dave said earlier about February having some optimistic read-throughs. And then street rate, I don't have in front of me on February, but Dave if you do.
Dave Cramer: Yes, I mean the street rate itself, as we talked about, we came out of street rates down about 10.5% in the fourth quarter. Street rates in February were similar to same, street rates have gotten maybe a 0.5 a little bit worse compared to where they were a year ago, so maybe closer to 12%, 12.5% down year-over-year. And I think largely that's because we are testing some markets around, can we by improving our rate, can we drive some better occupancy and trying to figure out a better revenue model. So, a little deterioration in year-over-year street rate.
Unidentified Analyst: And how should I think about the pricing power this upcoming peak leasing season where this last year in those specific market?
Dave Cramer: I think we all approached last year thinking we could raise street rates and have an occupancy lift and I think in our markets, we've lifted street rates and we saw no change in occupancy. I think we're going to be probably a little more cautious around the street rate lift and see what we can drive in occupancy as we go through the first couple of months of the spring leasing season. It also really market by market, store by store, it compares on what the competitive set looks like. There's certainly things we can't control and if it remains very competitive, then we will not be able to drive any type of street rate lift. If we think the competitive sets are moving up, we'll move up with them.
Unidentified Analyst: I'll kind of just squeeze another one. Just on asset sale front, like do you plan to sell like additional batch of assets in '24, like after this one to recycle some capital or that's not something in your mind?
Dave Cramer: I certainly think we're not done looking at the portfolio optimization. I don't think the large lift is over and so now I think it's going to be a little more selective. It may not come in chunks. It may just be singles, ones and twos or maybe some doubles here, but probably not large chunks at this point.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to George Hoglund for closing remarks. 
George Hoglund: Thank you all for your continued interest in NSA. We're excited about the opportunities that lie ahead and our current position to be able to take advantage of those opportunities. We look forward to seeing many of you next week in Florida. 
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.